Operator: Good day, and thank you for standing by. Welcome to the Hooker Furnishings Second Quarter 2024 Earnings Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Paul Huckfeldt, Chief Financial Officer. Please go ahead.
Paul Huckfeldt: Thanks, Catherine. Good morning and welcome to our quarterly conference call to review our financial results for the fiscal 2024 second quarter, which began May 1st, and ended on July 30th, 2023. Joining me this morning is Jeremy Hoff, our Chief Executive Officer. We certainly appreciate your participation today. During our call, we may make forward-looking statements, which are subject to risks and uncertainties. A discussion of factors that could cause our actual results to differ materially from management's expectations is contained in our press release and SEC filing announcing our fiscal 2024 second quarter results. Any forward-looking statement speaks only as of today, and we undertake no obligation to update or revise any forward-looking statements to reflect events or circumstances after today's call. This morning, we reported consolidated net sales for the fiscal 2024 second quarter of $97.8 million, a decrease of $55 million or 36%, as compared to last year's second quarter, driven by industry-wide weak demand for home furnishings and the planned exit of unprofitable operations within our Home Meridian segment. Net sales decreased by $30 million in the Home Meridian segment and $18 million in our Hooker Branded Segment, as well as $7.4 million in the domestic upholstery segment. Consolidated net income was $785,000 or $0.07 per diluted share for the quarter, compared to $5.5 million or $0.46 per diluted share in the prior year period. For the fiscal 2024 first-half consolidated net sales were $219 million, down $80 million or 26.8%, compared to last year’s first-half. Consolidated net income was $2.2 million or $0.20 per diluted share, compared to $8.7 million or $0.73 per diluted share in the prior year six month period. Now, I'll turn the call over to Jeremy to comment on our fiscal 2024 second quarter results.
Jeremy Hoff: Thank you, Paul, and good morning, everyone. On our call today, we'll discuss second quarter and first-half results. In addition, we will report on our progress in strengthening our financial position in this challenging environment and strategically deploying capital and other resources to invest in future growth and higher visibility with potential customers. We believe the current industry-wide softer demand is driven by retailers continuing to sell through over inventory positions and a glut of heavily discounted home furnishings in the market. In addition, the year-over-year comparisons reflect our exit from the higher risk non-profitable operations in the Home Meridian segment. We are encouraged that incoming orders have trended higher each month through the summer, compared to prior year, and consolidated orders are up by double-digits versus a year ago. During the quarter, we bolstered our financial position generating over $51 million in cash from operations and ending the quarter with cash and cash equivalents of $50 million. Additionally, we reduced inventory levels by $70 million from a year ago and completed most of our targeted liquidation sales at the Home Meridian segment's discontinued inventories. The quality of our inventories is much better than it was at the end of last year and is aligned with expected demand. In addition, our investments focused on building a larger customer base are working. For example, the collective impact of our new showrooms in High Point Atlanta and Las Vegas increased our customer contacts from about 3,000 to around 14,000 annually, quadrupling our interactions with existing and potential customers. While we expect that the full impact of this investment will be mostly longer term, we've already opened 1,000 new accounts in the first-half of the year as visibility and engagement have increased. The transformation of the Home Meridian segment to a sustainably profitable business model is well underway. Most of the excess inventories connected to the business unit closures at the end of the last fiscal year have been sold and the related cost reduction efforts are paying off. In addition, we reduced our Georgia warehouse footprint by 200,000 square feet during the quarter and expect to reduce another 100,000 to 200,000 square feet in early calendar ‘24. Rightsizing our footprint to align with our current demand when we no longer stock significant volumes of inventory for Accentrics Home will not only reduce cost, it will improve liquidity and working capital levels. HMI recorded a small operating income in fiscal July, and while we continue to expect some short-term volatility in sales and earnings, we expected to achieve profitability in the second-half of this fiscal year. The hard work and difficult decisions we've made over the past 18-months are beginning to show benefits. We have reduced our overhead run rate from a high of over $40 million to about $32 million now and expect to be below $30 million by year's end coupled with improvements in contribution margin, we believe we will have lowered Home Meridian's breakeven point by over $150 million and we'll be able to focus on building stable, profitable volume for the segment. During the quarter, we were pleased to have completed the acquisition of Atlanta-based decorative accessories specialist BOBO Intriguing Objects. This acquisition broadens our product diversity to include lighting, decor, textiles and wall art. Adding BOBO to our brand portfolio positions us as an even more valuable and comprehensive partner for our customer base. Like last year's Sunset West acquisition, we intend to scale BOBO using our existing sales, marketing and operations teams to make it a material part of our consolidated sales in the medium to longer term. Now I want to turn the discussion over to Paul, who will discuss highlights in each of our segments.
Paul Huckfeldt: Thanks, Jeremy. Beginning with Hooker branded. Net sales in the segment decreased by $18 million or 34% in the fiscal 2024 second quarter, due to decreased unit volume. Furthermore, discounting was 240 basis points higher than the prior year quarter, which was unusually low. For the fiscal 2024 first-half, Hooker branded sales decreased by $18.5 million or 19%, compared to the prior year six month period. Sales decreases in both periods underscore the softer demand for home furnishings. Despite a decrease in net sales, gross margin increased due primarily to favorable product costs from lower freight rates and to a lesser extent decreased warehousing costs. The segment reported operating income of $3.2 million and an operating margin of 9.3%, compared to $6.1 million and a 11.5% in the prior year's second quarter. While the order backlog was lower than the prior year quarter end, it remains 40% higher than pre-pandemic levels at the end of the fiscal 2020 second quarter. Incoming orders increased by almost 19% compared to the prior year quarter, a significant portion of Hooker branded’s backlog consists of orders from new products received late last year and earlier this year, which are expected to ship in the second-half of this year and position the segment positively for upcoming quarters. Turning to Home Meridian, net sales decreased by $30 million or 51% in the fiscal 2024 second quarter, due to reduced demand for Home Furnishings and the absence of sales from exited higher risk, unprofitable operations. Sales decreases in the major furniture chains accounted for about 70% of the decline and the e-commerce channel accounted for about 15% of the decrease. Gross profit and margin both decreased in the 2024 second quarter, resulting from the net sales decline and under absorbed operating costs. Product costs decreased as a percentage of net sales, due to lower freight costs, but fixed costs due to warehousing rent and labor expenses adversely impacted the gross margin, due to significant lower net sales. For the six month period, Home Meridian sales decreased due to these same factors. As Jeremy mentioned earlier, we reduced our Georgia warehouse footprint by 200,000 square feet during the quarter and expect to further reduce that in the future, bringing total square footage to around 500,000 square feet in early calendar 2024 versus a 1 million square feet a year ago. This rightsizing will reduce costs and improve liquidity and working capital. Due to the significant sales decline under absorbed operating costs, Home Meridian reported a $3.3 million operating loss for the quarter. However, its first-half operating loss was consistent with management's expectations. Quarter end backlog was lower than the previous year's quarter, and fiscal 2020 second quarter. This decline is attributed to the absence of orders from the exited operations, as well as a reduction in incoming orders from our retail customer, who are still carrying excess inventories ordered during the previous year. In domestic upholstery, net sales decreased by $7.4 million or 19% in the second quarter, due to sales decreases Shenandoah and HF Custom formally known as Sam Moore, partially offset by a 10% increase at Sunset West. Bradington-Young net sales were about the same as the prior year second quarter. Despite the sales decrease, gross margin was 200 basis points higher than the prior year, due to decreased direct costs, including more stable raw material costs and lower direct labor costs, due to reduced production at HF Custom in Shenandoah, partially offset by under absorbed indirect costs. For the fiscal 2024 first-half, net sales decreased at HF Custom, Shenandoah, and some Sunset West. Bradington-Young reported a small sales increase in the six month period. Incoming orders increased by 36%, compared to the prior year quarter. However, orders in the prior year period were relatively low due to higher backlogs and longer lead times. Quarter end backlog for Bradington-Young remained 3 times that of pre-pandemic levels at the fiscal 2020 second quarter. While the backlog at HF Custom and Shenandoah decreased to levels similar to fiscal 2020. All other net sales increased in both the second quarter and first-half, driven by higher sales at H Contract as the senior living industry continues to recover after the COVID pandemic and to a lesser extent, the addition of BOBO net sales. Gross profit and margin also increased in the [Indiscernible] On the balance sheet, we made considerable progress in our cash and inventory position and in strategic capital investments. Cash and cash equivalents stood at $50 million at the fiscal 2024 quarter end, an increase of $31 million from the prior year. Inventory levels decreased by $35 million from year-end $70 million from a year ago. During the six month period $51 million of cash generated from operating activities, funded $8.7 million in share repurchases; $4.9 million in cash dividends; $4 million in capital expenditures, including investments in our new showrooms; $2.6 million for the development of our cloud based ERP system as well as $2.4 million for the BOBO acquisition. Since the share repurchase program began in the second quarter of last year, we spent approximately $22 million purchase and retire 1.3 million shares of our common stock as of the end of this quarter. In addition to cash balances an aggregate $27 million was available under our existing revolver at quarter end. For the remainder of the year, we plan to continue to strengthen our balance sheet, continue our share repurchase program as appropriate and continue to invest in organic growth opportunities, which we believe will position us favorably as business continues to improve. Now I'll turn the discussion back to Jeremy for his outlook.
Jeremy Hoff: We believe there are mixed signals in the economy, a housing shortage and the over 20-year high on fixed mortgage rates has slowed down housing activity. The continued rise in interest rates has suppressed customer -- consumer confidence. However, overall retail spending and activity in the manufacturing sector and new business startups is healthy, while the unemployment rate remains near a 30-year low. As we anticipated, the first-half of the year was difficult as the industry worked through bloated inventories and changing consumer spending habits, we expect demand and business to pick up in the second-half for several reasons. First, consolidated orders are up in the mid-double-digits over this time a year ago, with orders trending up in each segment for the past few months. Secondly, a significant portion of Hooker Branded's backlog consists of orders for new products launched at the High Point market and are expected to ship in the second-half of this year. Thirdly, in the second-half, Home Meridian expects to ship over 1,000 retail floors, what we believe to be the largest number of new product placements in its history. We believe all the right pieces are in place to return Home Meridian to profitability in the second half of the year. While we are focused on reducing overhead cost, keeping our balance sheet strong and judiciously deploying capital, we have continued to invest significantly in initiatives that promote higher visibility with potential customers and ensure future growth and believe these things will put us in the strongest position as demand continues to improve. This ends the formal part of our discussion. And at this time, I will turn the call back over to our operator, Catherine, for questions.
Operator: [Operator Instructions] And our first question comes from Anthony Lebiedzinski from Sidoti & Company. Your line is open.
Anthony Lebiedzinski: Good morning and thank you for taking the questions.
Jeremy Hoff: Good morning, Anthony.
Anthony Lebiedzinski: Alright, so first -- hi good morning. So first, just curious about the cadence of sales from May through July, if you could comment on that. And then can you give us an early read on Q3? And I'm curious to hear your thoughts as far as how -- what are you hearing from your retail customers about Labor Day, which is an important holiday for the furniture industry?
Jeremy Hoff: Sure. When you say cadence of sales, you mean shipments or orders?
Anthony Lebiedzinski: The shipments.
Jeremy Hoff: Okay. Just making sure we're on the same page. So as far as shipments, obviously, our backlogs got to a level that wasn't really great for sustainable shipments throughout the quarter is how I would summarize it. As the quarter progressed, orders increased, as we mentioned, and our backlogs are improving, but that debt the timing issue on all of that definitely affected us for the quarter. Our feedback from Labor Day has been really positive. I would say, in almost every area that we've checked, the reports back were either they were above last year or they were just barely -- they were either at it or just below last year, which last year was really big. So we think that's really a positive sign for us overall.
Anthony Lebiedzinski: That's good to hear, Jeremy. And then so nice job with your own balance sheet improvements with lower inventories and improved cash position. So do you think you can make further progress with inventories? Or do you think that as quarters pick up further that you're kind of -- this is maybe the low point of inventories. Just maybe if you could just help us understand like where do we -- where do you think inventories go from here?
Jeremy Hoff: We think inventories are going to stabilize from here. We believe we -- this is as healthy of an inventory position that we've been in since I started, particularly with the ACH that we've gone through the Accentrics Home and everything that's been public. But from our standpoint, what I would really say is I feel the best about all of our controllables as an overall company as I have since I started. So -- and it has a lot to do with the balance sheet. It has a lot to do with the inventories. We're in a great position from a demand standpoint as it relates to our inventories and our order rates are significantly up. So all the things we believe we can actually affect, I feel really good about.
Anthony Lebiedzinski: Got you. Okay. And then so as order rates improve, as you talked about double-digit order increases that you've seen, does that imply that you'll see shipment and sales increases in the back half of the year? Or do you think there will still be somewhat of a disconnect there? And my question is on a year-over-year basis, by the way.
Jeremy Hoff: I would say year-over-year, we're going to compete pretty well in the second-half versus what we did in the first-half. I'm not ready to say that we'll beat the second-half last year, because it was a pretty substantial shipping half, because we were still somewhat inflated from sales from pandemic. But I do feel like it's going to be a little bit a tale of two-halves for us, and we're going to have a lot more positive shipping and order rate throughout the second-half.
Paul Huckfeldt: And we've reduced the operating costs.
Jeremy Hoff: Yes, right. So we're really going against a whole different denominator throughout that half as well.
Anthony Lebiedzinski: Understood. Okay. Got you. Yes, I know it looks like you're making further progress with Home Meridian overhead and in their warehousing space. So it looks like Sunset West was one of the key highlights in the quarter here. What's driving that? And do you think that growth is sustainable?
Jeremy Hoff: We do. It's actually one of our larger growth initiatives with that throughout the whole company. And we see it as on several levels, a big opportunity. One is when we bought the company, they're very West Coast centric. So our ability to expand their distribution throughout the U.S. with our sales team throughout our territories, as you know whether you're talking Florida, South Carolina, Texas, anywhere throughout the U.S., we definitely have more representation and stronger relationships than what they had before we bought them. Number two, being able to position Savannah with Sunset West also doing some cuts so cushion stuff and things we need to do out of our HF Custom facility in Bedford, we've created the supply chain really on both sides of the U.S., which is going to really feed growth in the eastern half of the United States, due to the cost savings of freight and really just the visibility, again, before we bought them, they didn't have a high point showroom. Now they're in, of course, our show place. They were in Chicago for the casual show there. Now they're in Atlanta. Their visibility has gone up exponentially and their ability to ship from both sides of the country. So all those factors are going to contribute in a pretty major way to their growth.
Anthony Lebiedzinski: That's good to hear. And then -- so you made a small acquisition in the quarter. Just curious about your appetite for additional acquisitions?
Jeremy Hoff: We're always open-minded in what comes along. We're pretty candidly, we're pretty particular at this point. It has to really be a white space. We don't want anything that will cannibalize what we currently are focused on within our -- throughout our portfolio. However, in this instance, for example, BOBO, our number one question when our customers look at Hooker case goods is who did this lighting, can I buy the lighting? And the number one reason we bought BOBO is so that we can change the note to a yes on that question.
Anthony Lebiedzinski: That makes a lot of sense. Okay, I guess -- and then my last question as far as the buyback. So you guys have certainly done a good job of having a well-balanced, I think, capital allocation between dividends and buybacks. So do you guys have much left on the buyback? Or have you exhausted the repurchase authorization? If you can give us an update on that, that would be very helpful.
Paul Huckfeldt: We have -- as of the end of the quarter, I think we had about $2 million -- $2 million, $2.5 million left. It's -- since then, yes, since then, we purchased another $1 million or so. So it's -- we have just a fairly small amount left on that repurchase, which will continue -- we'll continue to execute that in a 10 (d) 5-1 plan. I think it's worked really well. But we have to balance that with bolstering the balance sheet. The economy is still a little bit uncertain. So we're trying to balance that -- our capital allocation strategy along with maintaining a strong balance sheet.
Anthony Lebiedzinski: Understood. Well, thank you very much and best of luck.
Jeremy Hoff: Thank you, Anthony.
Operator: [Operator Instructions] Our next question comes from Dave Storms with Stonegate. Your line is open.
Dave Storms: Good morning.
Jeremy Hoff: Good morning.
Paul Huckfeldt: Good morning, Dave.
Dave Storms: Appreciate just taking my call. Just wanted to start towards the top of the balance sheet. It looks like gross profit margin is up about 350, 355 basis points or so. Can you just talk about what the drivers are of that on a year-over-year basis?
Paul Huckfeldt: Right now, we're benefiting from lower costs. We -- well, as mentioned on the call, our Upholstery margins are up because costs have stabilized, and we've been able to balance our labor better. On the imported product side, we're benefiting from somewhat reduced factory cost, but mostly from the benefit of freight costs and increased the last of our higher prices, as we've had -- we've reduced prices in corresponding with these freight decreases. But the last of the higher-priced inventories are -- less the higher costs are now rolling out. So all those combined with exiting some difficult businesses. This time last year, we were burdened with the upside down cost structure of the ACH business, which is why we chose to exit it. So I think these margins are probably -- the gross margins are probably a little bit high, compared to what we'll see going forward, but more normal than they were this time last year.
Dave Storms: Would it be fair to say that it's more a factor of pricing as opposed to volumes at this point?
Paul Huckfeldt: Yes.
Dave Storms: That's very helpful. Thank you. And then just looking downstream, you've mentioned that orders are really starting to increase, but downstream suppliers are still working through some of their inventory. Are you seeing that come to some sort of turning point just with the orders increasing? Or do you expect destocking to continue going forward?
Jeremy Hoff: Yes. We're actually seeing some of that loosening up, but it definitely has been a factor, and it's continued to be a factor. And that situation seems to be a little different with each retailer. So it's not really a -- it's hard to give a blanket answer, you know, one retailer is dealing with this and another retailer may have bought differently during that time. And -- so -- but overall, we definitely are feeling now a little bit looser environment with regards to inventory for sure. And I think the strong Labor Day sales are going to help us, although I can't say that to this point because we're -- we'll see that in the next few weeks.
Dave Storms: Very helpful. Thank you. And then just going back to -- Paul, I think you mentioned about maintaining a strong balance sheet and how that's very important for you guys. Can you just talk about your comfortability with your current debt position and the revolver availability that you have?
Paul Huckfeldt: Well, this company has always managed the balance sheet pretty conservatively. And I think it served us very well over the almost 100-year history in the company. And so that's -- it's a core value to try to maintain a strong balance sheet. We have, at this point, $27 million of availability on our revolver, we've got $7 million tied up above that, we've got a $35 million revolver, $7 million is tied up in letters of credit. But we've got $27 million available there. We've got $22 million in debt. So it's a pretty low level of debt. I know this industry is pretty debt of course, but I think still fairly comfortable with that level of debt. We've got $50 million in cash. So I think that's a pretty comfortable level. And -- that's a pretty comfortable level. So -- but we'd like to -- as we see the economy develop over this next year -- the rest of this year, I think we're going to try to manage things cautiously and then make our capital allocation decisions for next year as we -- as we see what happens in the remainder of this year.
Jeremy Hoff: And we always mentioned we have an over 50-year history of paying our dividend as well.
Paul Huckfeldt: Right. Right, which dividend yield is just under 4%.
Jeremy Hoff: Right, right.
Paul Huckfeldt: We think that's important for me...
Jeremy Hoff: That's the priority.
Paul Huckfeldt: Yes.
Dave Storms: Understood. One more for me, if I could. Just from a modeling perspective, CapEx budgets running around $4 million to $5 million a quarter. Is that fair to extrapolate for the foreseeable -- excuse me, for the remainder of 2023?
Paul Huckfeldt: CapEx for the remainder of this year is probably $1 million-ish. In a normal year, our CapEx is probably $5 million or $6 million. This one -- this year has been a little bit bigger with new showrooms with our ERP project -- so if you're modeling going forward, I would probably put $6 million a year just for CapEx.
Dave Storms: That’s all, very helpful. Thank you for taking my questions.
Jeremy Hoff: Yes, you’re welcome. Thank you.
Operator: [Operator Instructions] We have a question from Budd Bugatch from Water Tower Research. Your line is open.
Budd Bugatch: Thank you very much and thank you for taking my questions as well. Congratulations. I want to echo the congratulations on the way you've maintained your balance sheet and your financial condition and what's got to have been I think the most volatile time we've ever seen in the industry and maybe in society.
Jeremy Hoff: We appreciate that. Thank you.
Budd Bugatch: You're welcome, and well deserve. When I think about Hooker, Hooker has the widest diversity of customers in terms of geography, number of customers and type of business model. And I was wondering, Jeremy, if you could give us maybe a read on what you're hearing from various levels of customers and maybe delve down? I know the majors, who had a big -- or seemed to have had a big problem with the order book in HMI. So what are you seeing as you look around the country and hearing from the retailers, what's their -- what are they talking about?
Jeremy Hoff: So it's interesting, Budd. It's a really good question. So what I've observed and what I've -- things I've heard is, it seems like the type of model that each customer is really flowing their inventories through has a lot to do with what position they've been in from an inventory standpoint. So the larger customers, of course, they're bringing in containers. They're bringing in larger positions of inventory. So those are more difficult to just turn around quickly. So the model of container and case goods, I would say, has been the toughest model across our industry. As you get into domestically inventory position by manufacturers where they can buy anything kind of 1 at a time, that model has been less disruptive because you could fit -- you could actually get some orders into some places that didn't have the situation I just described, which was typically probably more of a medium to smaller customer, also interior designers and of course, e-commerce. Then if you get into another segment, which is domestically made upholstery, that again, that was probably, in my opinion, the most advantaged place to be throughout the situation we've all been in, for all the reasons I just stated from an inventory position. It's -- a lot of it's custom order. A lot of it's 1 at a time. So really, the different models, kind of, in my opinion, determined what type of position each retailer was in.
Budd Bugatch: And going -- digging down on that in Labor Day, which you may have heard, and I realize it's only anecdotal at this time. What are you -- are you hearing any differences in how the demand is coming back to these retailers and to the various classes of retailers and the health of the inventories you mentioned, I think that the inventory seems to be -- do you think you've seen the end of destocking. So how are inventories at retail and among the majors, obviously, because the smaller guys would offer, as you said, order one by one. So when we…
Jeremy Hoff: We believe they're getting in a much better position, but I think Labor Day, we're going to find out if that really put them over the -- over that line of feeling better about ordering more products. I think a lot of that has affected producers overseas. Of course, it's been slow. And in my opinion, and it's just strictly my opinion, I think that there will be some maybe overreaction in letting inventories get possibly too low. And then there might be, okay, how do I get things quick enough and we may be in a little bit of a bottleneck towards the end of the year? I don't know this, by the way, I'm just telling you what I think may happen.
Budd Bugatch: Oh, well, we've seen it before in the industry. That's happened before...
Jeremy Hoff: Right, right. Exactly.
Budd Bugatch: When you look at sales on a comparable basis, I realize we've got the ACH discontinuation. We've got some other things. How does it look on a same kind of same location basis segment by segment or overall company?
Jeremy Hoff: So I want to make sure I understand your question. Are you are you asking how we'll look across the different businesses now that ACH and the clubs business and whatnot are gone?
Budd Bugatch: Well, I'm not looking at the future, looking at the quarter or at year-to-date, how was it on that basis with taking out the discontinued operations or the things that you -- the initiatives that you are paring back. So I'm sure you look at it on a kind of a comparable basis, as well as an overall consolidated basis.
Jeremy Hoff: Yes. So ACH would have been $8 million to $10 million of that picture. I don't have the exact number you're looking for, but we'd be happy to jump on a call and figure that number out and give it to you later.
Budd Bugatch: That would be great. And when you look at -- you've talked about the destocking with the majors and the way you flow goods. You've got probably maybe the largest -- 1 of the larger import businesses as well. So what are you seeing -- you talked about, I think, before you're going to try and move away from your sourcing from China. And obviously, that's a big issue in society in the country. What are you seeing -- what's your progress on that? And what's the health of your suppliers in the Pacific rim?
Jeremy Hoff: We feel really good about the health of our suppliers overseas. We're less than 10% now in China. We were as much as, I believe, I think we're around 35% at 1 point in China. So we've made a significant reduction in that. Also, a major improvement for us that we haven't talked about is the number of factories we used to deal with when we had the clubs business when we had Accentrics Home when we had we had RTA, I mean, just to give you an idea, just Accentrics Home at over 60 factories. So when you think about the people we have overseas, which is a really pretty substantial team, but them being able to focus on the number of factors we have now, which is we feel the correct number for our business, and it's not spreading out our team because we have quality and other individuals that have to be in those factories. So as you do that, you lose sight and focus on the things that actually matter, which is a big benefit to what we've done as well.
Budd Bugatch: So Vietnam now the largest of your supply countries?
Jeremy Hoff: Yes.
Budd Bugatch: Okay. And last for me would be HMI. Any other actions you're contemplating here that you can talk about? Obviously, if you've got some that may affect people, you probably can't talk about it, but -- any other things strategically that you see do you think they need to do with Home Meridian?
Jeremy Hoff: No our -- the nice thing about Home Meridian at this point is it's just we need to grow, and we're focused on growing Pulaski, growing Samuel Lawrence, PRI and also our hospitality division. And we have a lot of things, as we mentioned, over 1,000 store placements going out between -- right before this call and after which is going to, we believe, feed a lot of future revenues for HMI. And because as we mentioned, the overhead -- the breakeven point for HMI is such a different place now -- that's why we feel so confident about how we're going to do within that business for the future.
Budd Bugatch: And I would have thought hospitality would have been a real strong point during the quarter with what's going on in the country. Is that true?
Jeremy Hoff: Budd, I missed the first part of your question, I'm sorry.
Budd Bugatch: I would say hospitality should have been -- I would think, would have been very strong during the quarter.
Jeremy Hoff: Yes, definitely bright spot. It was definitely a bright spot for us. Also the H Contract, which is focused on senior living was another bright spot for us throughout the quarter.
Budd Bugatch: Thank you very much. I’m sorry [Indiscernible]
Paul Huckfeldt: I'm sorry Budd the remaining cost reductions of those warehouse reductions that we've got planned, we don't have any personnel related actively say we don't have any personal related…
Jeremy Hoff: No, we feel really good about our overhead position and also the cost -- the next cost reductions all have to do with more space in Savannah, getting out of more space in Savannah to get to the $500,000 we talked about. And also, we believe there's labor efficiency that will save us down there as well. So -- but most of our cost reductions have been taken care of. And our plan moving forward is just run a solid, sustainable business that is actually predictable and we don't have the surprises we've had to report in the past.
Budd Bugatch: Okay. Paul, I would have thought one thing you did say is that the higher freight costs is that out of the inventory now, has impacted inventory it had to flow in there. Do you think all those excess of container rate costs are gone?
Paul Huckfeldt: Yes. I think through the summer, we worked our way out of it by the end of the summer. I think most of the excess costs were gone.
Budd Bugatch: Thank you. Well, congratulations, good luck on the next part of the year.
Jeremy Hoff: Thank you, Budd. We appreciate it.
Operator: [Operator Instructions] Our next question comes from Barry Haimes with Sage Asset Management. Your line is open.
Barry Haimes: Thanks very much. I had a couple of questions. First is -- could you give the backlog number at the end of the quarter and then what the comparison was both a quarter ago and a year ago?
Paul Huckfeldt: End of July, the backlog was $88 million versus $201 million a year ago.
Barry Haimes: And what was it at the end of the first quarter?
Paul Huckfeldt: End of the first quarter, it was $87 million versus $282 million in the prior year.
Barry Haimes: Got it. Thank you so much. That's very helpful. And then just on BOBO, it seems like the acquisition certainly makes sense. But could you give us -- is it already closed? And if so, what was the closing date? And could you give us the price that you paid for it? Thanks.
Paul Huckfeldt: It was mid-June, June 12, and we paid $2.4 million. It was a small acquisition.
Barry Haimes: Got it. Thanks so much, appreciate it.
Jeremy Hoff: Thank you.
Operator: Thank you. And our last question comes from John Deysher with Pinnacle Value Fund. Your line is open.
John Deysher: Hi, good morning. Thanks for taking my questions. Just back to BOBO for a second. Can you share with us what the revenue run rate was when you bought it?
Paul Huckfeldt: When we bought it, the revenue run rate was around $5 million. It's been in…
Jeremy Hoff: Yes.
John Deysher: Okay. And obviously, you have growth expectations for it. How soon before that product line is integrated in terms of your sales force and distribution capabilities. When will that be accomplished?
Jeremy Hoff: So it will be fully integrated with our sales force and distribution as of the October market coming up.
John Deysher: Okay. What is that -- at the end of October?
Jeremy Hoff: I believe...
Paul Huckfeldt: Mid-October.
Jeremy Hoff: It's second or third week of October.
John Deysher: Okay. All right. Good. And what do you think that business is capable of? I mean what is fully integrated -- what would the dream be in terms of revenue for that business?
Jeremy Hoff: We believe it will be a smaller brand for us on the top line. So $15-ish million is what we believe it can do fairly in a couple of years, 2 to 3 years. But the bottom line, the margins and whatnot in those categories are different from kind of anything we do now. So it is it's somewhat impactful for us even at that volume level.
Paul Huckfeldt: And it's supporting our sales, our brand.
Jeremy Hoff: Right. It helps us complete a more whole home picture, and we can sell really the entire room in many ways.
John Deysher: Yes. No, I mean, it makes total sense. So you would say the margin profile is better than the core business?
Jeremy Hoff: Correct.
John Deysher: Okay. Fair enough. Good, then one final minor question. What were the orders for the quarter?
Paul Huckfeldt: $96 million.
John Deysher: Okay, great. Thanks very much and good luck.
Jeremy Hoff: Okay, thank you.
Paul Huckfeldt: Thank you.
Operator: Thank you. I would now like to turn the conference over to Jeremy Hoff for closing remarks.
Jeremy Hoff: I would like to thank everyone on the call for their interest in Hooker Furnishings. We look forward to sharing our fiscal '24 third quarter results in December. Take care.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.